Operator: Good morning, and welcome to the Third Quarter 2018 Earnings Conference Call hosted by BNY Mellon. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference call webcast will be recorded and will consist of copyrighted material. You may not record or rebroadcast these materials without BNY Mellon’s consent. I will now turn the call over to Mr. Scott Freidenrich , you may begin.
Scott Freidenrich: Thank you. Good morning and welcome to the BNY Mellon's Third quarter 2018 earnings conference call. This morning BNY Mellon released the results for the third quarter of 2018. The earnings press release and a financial highlights presentation to accompany this teleconference are both available on our website at bnymellon.com. Charlie Scharf, BNY Mellon’s chairman and chief executive officer will lead this morning's conference call. Also making prepared remarks on the call this morning is Mike Santomassimo, our chief financial officer. Following Mike's remarks there will be a Q&A session. Before we begin please note that our remarks today may include forward-looking statements. Actual results may differ materially from those indicated or implied by our forward-looking statements as a result of various factors. These factors include those identified in the cautionary statement in the earnings press release, the financial highlights presentation and in our documents filed with the SEC available on our website bnymellon.com. Forward looking statements made on this call speak only as of today October 18, 2018. We will not update forward-looking statements. With that I will now turn it over to Charlie.
Charlie Scharf: Thank You Scott and good morning everyone. Thanks for joining our third quarter earnings call. Before asking Mike to walk you through the financials let me frame the quarter with some thoughts on how our businesses are performing. In terms of the headline numbers earnings per share of a $1.06 was up 13% from last year's third quarter. These results included two significant items approximately $0.05 from litigation charges and a $0.05 benefit in our tax line. Year-over-year revenue grew 1%. Expenses grew 3% though 2% of that was related to litigation and we continue to benefit from reduction in our tax rate related to the new tax law in the U.S. and from strong capital return. While we are not pleased with our total revenue growth for this quarter there are some areas with modest strengths and others that are weaker several of which we believe will strengthen over the time. Our investment services revenue growth was 3% and investment management revenue growth is 2%. These were partially offset by lower revenue in the other segments. Mike will cover that later. As I said since joining the company we're not satisfied with our growth. As we've been too reliant historically on the impact of the markets, our focus on organic growth will take time to show up in the revenue line across our businesses and though small there continue to be signs of positive momentum in some areas which we'll cover. With the reality that it will take time to see the impact of our growth activities show up in the revenue growth line, we are disciplined on expenses and will continue to be. Though our expenses increased 3% I mentioned that 2% of the increased related to litigation. So excluding litigation charges we at minimal expense growth. You also know that we've been significantly increasing our investment in technology and infrastructure to get to minimal expense growth all other expenses in total were lower than the prior year. I will discuss this a little more later but we will continue to focus on improving our structural operating leverage while continuing to invest for growth. Looking at our businesses let me first start with asset servicing. Asset servicing revenue growth is 3% and we had a reasonable fee that interest revenue and FX growth. We again saw steady performance in our core custody, middle office and fund accounting revenues on-boarding more than $450 billion of AUCA across a number of investment managers and other clients. Additionally, we have a mandate to provide middle office outsourcing for significant private credit manager where we're investing in new capabilities. Securities lending benefited from the increased demand for highly liquid assets primarily U.S. treasuries and we're benefiting from new clients and expanded business with existing clients and our growth in client driven foreign exchange revenue was driven by new business wins, higher session range volumes and market spreads. Our global pipeline remains strong across all major assets servicing products. As asset managers continue to look for ways to reduce their costs we're seeing increasing consolidation of global operations and technology which is driving demand for outsourcing managed services and data management solutions. In Pershing while we saw a reduction in revenue last quarter from two previously disclosed client losses our total revenues were flat to last quarter and up 3% from the prior year. So this means growth is offsetting these losses. As a reminder we've been awarded multiple mandates that will begin to positively impact results starting in the second half of next year and more significantly into 2020. Timing aside we're confident as ever in our ability to continue to build Pershing over the long term. In issuer services, revenue growth of 2% was driven by mid-single digit growth in corporate trusts partially offset by a decline in depository receipts. Quarter-by-quarter performance in depository receipts as episodic and several significant client events have been pushed from the third quarter into future quarters. Although, the DR markets are weak we're winning our fair share now while remaining disciplined on structure and full-year revenue growth should be strong. Corporate trusts revenue growth was driven by the repositioning of our front office sales and relationship management teams and by better coordinating with our firm wide global client management team to leverage our relationships for deals that our financial institutions and asset management clients are bringing. This is yielding opportunities and mandates and I should add that our pipeline remains strong particularly for CLOs and corporate debt. We have had good momentum with clients although market share stats are imperfect in this business it appears that we've gained some traction in the first half of the year. We've also started to deliver new digital capabilities that give clients better transparency into their loan positions, compliance data, cash activity and trade information and it's been well received. In treasury services, Paul Camp joined us this quarter as the new leader for this business. Paul has tremendous experience and has already brought a renewed sense of urgency and has some great ideas for building our business into a stronger growth engine for the company. Having said that we continue to see growth albeit less than we like in our payment volumes from existing and new clients and are focused on growing the liability balances from our treasury services clients. We're continuing to invest in capabilities such as real-time payments which should help differentiate our offering. In clearance and collateral management we reported 8% revenue growth. We again saw strong revenue growth from the on-boarding of the remaining former JP Morgan government clearing broker dealer clients, higher clearance volumes related to record issuance levels and strong demand for U.S. government debt and treasury issuances and growth in collateral management activity from new business and increased client activity. Here we're seeing interest from new entrants to the collateral market such as corporates in alternatives investing their cash in repo as well as the continued rollout of rules requiring segregation of margin related to derivatives. Our capabilities in clearance and collateral management are a clear point of differentiation. Once such point of differentiation is our collateral optimization engine, it has significant growth potential as collateral management business becomes increasingly important part of the investment process. Turning to investment management, the environment continues to be difficult for the industry and we achieved 2% revenue growth this quarter. We continue to focus on investment performance drive to scaling our business, invest in product development and distribution capabilities and strengthen our wealth management franchise. Net flows return positive this quarter with $15 billion in net inflows. We saw strong flows in LDI as well as positive flows and fixed income and multi assets in alternatives and our U.S. multi asset manager which we've rebranded Mellon has had good activity across a range of asset types including entering into a new sub advisory partnership. In our wealth management business Catherine Keating joined us as CEO and is already identifying opportunities to strengthen this business. We have lot more to say about this in the future. In terms of talent we are continuing to attract great people at all levels of the company. We are working to develop and capitalize on the deep knowledge and specialized expertise that exists across our company and complimenting that with new outside perspectives. In addition to appointing Catherine we added a number of other senior leaders this quarter who expect to play the major roles in increased growth and profitability. These include Roman Regelman who joined us as head of digital he will lead and coordinate our thinking as he set the strategic direction for additional future including data management, analytics, artificial intelligence, machine learning and robotics. Akash Shah has joined the company in the newly created role of head of strategy. Akash joined us from McKinsey where he called at the capital markets and investment banking practice. And has a strong background focused on exactly what were the [indiscernible 00:58-3] transforming businesses for the future and positioning them to drive organic growth and innovation. Emily Portney joined us as our new head of assets servicing for the Americas and will help drive our business forward in the U.S., Latin America as well as overseeing our interest in the CIBC Mellon Assets Servicing a joint venture in Canada. And we announced two key technology hires after quarter end Sabet Elias has joined us as chief technology officer bringing extensive experience in building and operating global high performance machine critical technology environments and Avi Shua was appointed technology lead for wealth management helping us build technology platforms to grow our wealth management business which as I said is a key priority. We are thrilled at our ability to attract such an outstanding group from top tier institutions. So as we look forward, we will continue to methodically build out our capabilities and teams. We have been investing in technology both to improve our existing operations in infrastructure and to build new capabilities for clients and we will continue to invest. We will remain keenly focused on expenses. We continue to believe there is meaningful opportunities to become more efficient which will help fund the technology investments we need to make as well as provide improved service for our clients and we are highly focused on driving that efficiency in both the short and long term. And I will close by describing how I think you would feel if you are inside the company. As I have said we are proud company and we are strong company with exceptional client relationships and we have great subject matter expertise inside the company. But we are not performing as well financially as we would like. We believe our franchise is capable of delivering more organic growth than we delivered thus far. And we are focused business-by-business on changing our thinking developing capabilities, improving the quality of our work and aligning internal resources to achieve this end becoming more efficient is important part of the puzzle. We believe that increased efficiency improves the quality of our work, allows us to invest in what's important for our clients and its pro growth. Importantly, there is a shared understanding that we will hold each other accountable for higher standards of performance and proceed with the strong sense of urgency. Given the nature of our business all the work we are doing will take time to come through in our numbers but I want you to know that every day we are challenging ourselves to get there faster. With that let me turn the call over to Mike.
Mike Santomassimo: Great. Thanks Charlie. Good morning everyone. Let me run through the details of our results. Then provide some thoughts on the fourth quarter. Note that all comparisons will be on year-over-year basis unless I specify otherwise. Beginning on page 3 of the financial highlights document, in the third quarter we had earnings of $1.1 billion and earnings per share of a $1.06 up 13%. There were two significant items included in the quarter. We incurred litigation charges that increased expenses 2% which negatively impacted earnings per share by approximately $0.05. The charges related to new development for the quarter are previously disclosed matters that we anticipate resolving shortly. And we had a net benefit of approximately $0.05 per share resulting from adjustments to our provisional estimates for the impact of the U.S. tax legislation from last year and other tax changes with decreased the effective tax rate by approximately 4.5%. Year-to-date we had earnings of $3.3 billion or $3.20 per share up 21%. In terms of shareholder capital returned year-to-date we have returned $2.7 billion to common shareholders through $1.9 billion of share repurchases and approximately $800 million in dividends. That includes actions taken during the third quarter where we repurchased 12 million shares for $602 million and paid $283 in dividends. Now turning to the third quarter highlights on page 4. During the third quarter total revenue was up 1%, we did have a couple of items that impacted the revenue growth rate. Securities gains in the third quarter of 2017, lowered foreign exchange currency hedging revenue and the pre-tax impact of our renewable energy investments negatively impacted growth by almost 1.5%. Just a reminder that we get the benefit of our wind investments or renewable energy investments in the tax line but have pre-tax costs that are included in investment in other income. Fee revenue was up 1% to $3.2 billion growth in the quarter benefited from higher equity market values, collateral management and clearance volumes and performance fees. We saw reasonable growth in our assets servicing business including the client driven foreign exchange fees as well as in our corporate trust and clearance and collateral management businesses. Investment management and performance fees together grew 2%. Fees and purging were essentially flat despite the impact of the previously lost clients. Third quarter net interest revenue increased 6% to $$891 million driven by higher interest rates partially offset by lower interest earning deposits and other borrowings. As expected our deposit balances were down year-over-year and sequentially. Year-over-year our average interest-bearing deposits increased 4% while our average non-interest bearing deposits declined 14%. As we have consistently said for our clients that deposit pricing is continually becoming more competitive. With betas increasing as rates rise. On page 7 of our earnings release you can see that the rates on our interest bearing deposits increased from 45 basis points in the second quarter to 63 basis points this quarter. On the surface this would imply deposit beta of approximately 72% globally but when you get to the underlying data for interest-bearing U.S. dollar client deposits which excludes wholesale funding, it is really in low to mid 80% range. The net interest margin increased 12 basis points to 1.27% sequentially the, NIM was up one basis point. Our expenses grew 3% to $2.7 billion as I mentioned earlier litigation increased expenses approximately 2%. The remaining growth in the quarter was due to the continued investments we were making in technology which was partially offset by declines in other areas. As Charlie mentioned we are focused on delivering on our technology investments and driving efficiency across everything else we do. All these items resulted in a 2% decline in pre-tax income to $1.3 billion. The litigation charges negatively impacted pre-tax income growth by approximately 4% and a 9% increase in net income applicable to common shareholders to $1.1 billion which benefited from the lower tax rate. This performance coupled with the reduction in our share account translated to a [13%] increase in earnings per share to $1.06. Our pre-tax operating margin was 33% down 1% from the prior year period. Again the litigation negatively impacted the pre-tax margin by approximately 100 basis points. Our capital position and returns continue to be strong. Our CET1 ratio with 11.2% and our return on tangible common equity was 23%. Before we go deeper into the quarter on page 6 are the year-to-date results which track well with the discussion we had at investor day. Total revenue was up approximately 5% and expenses were up approximately 3% generating solid operating leverage. Foreign exchange translation increased old growth rates by about 100 basis points. Net income applicable to common shareholders was up 17%. Earnings per share was up 21% and return on tangible common equity was up more than 200 basis points to more than 24%. Page 8 highlights our investment services business results. Investment services revenue was $3.1 billion up 3%. Within investment services assets servicing revenue grew 3% to 1.5 billion primarily reflecting higher equity market values, securities lending volumes, net interest revenue and foreign exchange volumes. This includes a reasonable increase in assets servicing fees and a 27% increase in securities lending revenue driven by increased demand for U.S. government securities and some new client activity. Purging revenue was up 3% to $558 million a result of higher net interest revenue, equity markets, long-term mutual fund balances partially offset by the impact of previously disclosed lost business. As I mentioned fees were flat despite the impact of their previously disclosed lost business. Issuer services revenue was up 2% to $453 million primarily reflecting higher interest revenue in corporate trusts. Corporate trusts related revenue was up mid-single digits offset by declines in depository receipts. The sequential increase of 5% reflects seasonality in depository receives. Treasury services revenue increased 3% year-over-year to $324 million primarily reflecting higher net interest revenue and transaction volumes. Clearance and collateral management revenue was up 8% year-over-year and down 2% sequentially to $264 million. The year-over-year increase reflects growth in collateral management clearance volumes in net interest revenues. These increases are primarily due to the on-boarding of the new government clearing clients which was substantially completed in the quarter. As a result of the clients onboard and other increases in activity average tri-party collateral manager balances were up 18% and are just under 3 trillion. Non-interest expense within investment services increased 8% year-over-year and 3% sequentially to $2 billion. The litigation charge negatively impacted expenses by approximately 3% year-over-year and sequentially. The remaining expense growth was primarily driven by increased investments in technology offset by lower staff expense. Also foreign exchange and other trading revenue increased 5% from higher volumes. Assets under custody and/or administration grew 7% to $34.5 trillion and in pershing despite the lost business average long-term mutual fund assets were up 5% year-over-year and average clearing accounts were down just 2%. So some key metrics are showing positive momentum at point to higher organic revenue over time. Turning to page 9 for investment management highlights. Asset management revenue increased 2% to $704 million benefiting from growth in the equity markets and higher performance fees which were partially offset by the impact of net outflows in prior quarters and by lost revenue associated with the sales center square. Wealth management revenue was up 1% to $311 million and down 2% sequentially with the sequential decline a result of lowered interest revenue partially offset by higher equity market values. Assets under management increased slightly year-over-year and increased 1% sequentially to 1.8 trillion. Asset flows improved in most asset classes with net flows of $15 billion. Our actively managed strategies experienced 18 billion in net inflows with $16 billion in LDI inflows, $2 billion in multi asset and alternative inflows and $2 billion in fixed income flows partially offset by active equity outflows of $2 billion. Index had outflows of $3 billion primarily due to outflows from clients for whom we supervised on their index strategies. Cash was flat. Turning to our other segments on page 10 fee revenue decreases year-over-year sequentially primarily reflecting the pre-tax impact of our investments in renewable energy as I mentioned before we get the benefit from these investments in tax line and foreign currency hedging. Non-interest expense decrease primarily reflecting lower staff cost. Turning to capital and liquidity on page 11 our capital and liquidity ratios at September 30, 2018 improved since the end of the second quarter. Common equity tier 1 capital totaled $18.5 billion at September 30, 2018 and our CET1 ratio was 11.2% under the advanced approach. The supplementary leverage ratio was 6.4% and our average LCR in the third quarter was 121%. Now page 12 details our expenses. On a consolidated basis expenses of $2.7 billion increased 3%. The litigation charges negatively impacted the expense growth by approximately 2%. The remaining growth is primarily due to investments in technology partially offset by lower staff expense and lower distribution and servicing expenses. Note that the technology expenses are included in staff, professional, legal, and other purchase services and in software equipment. Expenses were down slightly sequentially primarily reflecting lower net occupancy staff and business development expenses partially offset by higher litigation. The decrease in net occupancy expense is primarily due to the expenses associated with the relocation of our headquarters that was recorded in the second quarter. Now looking ahead to the fourth quarter there are a few things to factor in your modeling. As a reminder our results in the fourth quarter of 2017 included impacts from the U.S. tax bill and severance litigation and other charges. The total cost of relocating our corporate headquarters is estimated to be approximately $75 million of which $12 million was recorded in the second quarter and we expect to record the remaining expense in the fourth quarter. Excluding the real estate cost we would expect the growth rate of our overall expenses in the fourth quarter year-over-year to be directionally similar to what you've seen year-to-date which implies in modest uptake from the third quarter consistent with prior years. As it relates to net interest revenue you should factor in the following. At this early point in the quarter overall deposit levels are slightly higher than the average for the third quarter with non-interest bearing deposits about at the same level. As rates rise we expect deposit beta to continue to increase which we think is consistent with what is happening in the market. We are assuming that one month and three month LIBOR are slightly above the current level on average for the quarter but we have seen some compression and spreads between one month and three months LIBOR and the fed funds rate that will have an impact in the fourth quarter. If these assumptions play out it should result in net interest revenue being similar to what you saw this quarter. Fourth quarter seasonal performance fees are expected to be in line with the fourth quarter of 2017 and excluding the significant items in the third quarter we still expect our full-year effective tax rate to be approximately 21%. With that operator can you please open up the lines for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Ken Usdin of Jefferies.
Ken Usdin: Thanks. Good morning guys. On the asset servicing business so wonder if you can detail a little bit more the flattish kind of results but you said you had some benefits from the broker-dealer business. Can you walk us through how did collateral management act and just out of the core asset servicing act? You mentioned some pending potential wins and not sure if you meant that those were converted as well. So just if we can get the flush out color on what you're seeing currently and what you're expecting out of the core asset servicing. Thanks.
Charlie Scharf: Hey Ken are you talking about asset servicing or pershing?
Ken Usdin: Asset servicing. Didn't the broker dealer clients come in throughout the servicing are you saying they came in through clearing on the fee side? Somebody at the income statement.
Charlie Scharf: Asset servicing revenue growth was 3% overall and when you look at it the underlying fee growth was reasonable we had net interest revenue growth and FX growth.
Mike Santomassimo: Yes, so I think so let me sort of dig in a little bit Ken for you. So obviously I will just pick it apart so tell me if I miss something but for the new clients that Charlie referenced that we on-boarded very little revenue in the quarter from them so far. So you'll start to see that kick in as you look forward. So that didn't contribute much to this quarter. I think for the where you'll see the new JP Morgan, the clients that converted over from JP Morgan that'll be in the clearance and collateral business line in our release and as you sort of think about the asset service seeing fee line as Charlie said when you sort of dig into the underlying businesses both an asset servicing and clearance and collateral we saw some reasonable growth involved quarter-to-quarter.
Ken Usdin: I got it. Yes there's a little mixing matching there between business line and income statement I think that's where my question was a bit confusing but thanks for clearing that up Mike. And then okay so then separately just on the balance sheet the beta's can you talk about – you talked about that you expect them to move up from here, can you do it – would you still anticipate as long as LIBOR is moving the right way can the NIM expand from here or is it going to be more of a function of just what the mix is looking like every quarter because obviously there's pushes and pulls between the dollars and the NIM spread.
Mike Santomassimo: Yes, I think on NIM Ken, I don't know that you can expect it's always going to be a straight line up right, but I think you sort of look at the various components of it that where we're sort of our biggest driver as you know well is sort of how we were reinvesting in securities portfolio and those deals continue to sort of move up each quarter. So, all the we're seeing probably a 15 basis points sort of increase and sort of pay downs versus where we're reinvesting their votes. So, maybe a little more little less depending on an average depending on sort of where you are. So, I think you can see the NIM sort of grind up over time but I don’t know that you can always expect it to be sort of a straight line up every quarter. And I think when it goes to LIBOR, as we said in sort of my commentary, we're sort of expecting LIBOR to be slightly above, call it a few basis points above what you see one and three months today and that all sort of give you the result of which sort of highlighted in the release.
Charlie Scharf: The only thing I'd add is just remembering the timing of the change in days doesn't always align with the timing of the re-pricing of our portfolio. Yes.
Ken Usdin: Thanks guys, I appreciate that.
Charlie Scharf: Next question, please.
Operator: Our next question comes from the line of Alex Blostein with Goldman Sachs.
Alex Blostein: Hi guys, good morning and thanks for taking the question. Just picking up on the last discussion. I guess, understanding that quarter-to-quarter the balance sheet could be a little volatile but as you look out to next couple of years and we continue to go through the rate cycle, how do you expect the balance sheet to perform. Do you think there is any growth there or do should we think the balance sheet will continue to kind of shrink and then in terms of the mix between interest and non-interest bearing deposits, kind of similar so I guess that has been coming down a little bit, I think you guys have about 29% of non-interest bearing as a percentage of total. When you look pre-crisis, I think that was somewhere in the mid-20. So, should we think of that as still kind of reasonable level toward non-interest bearing deposits will go?
Charlie Scharf: Hey Alex, it's Charlie. Let me start with just some broad comments and then I'll hand it over to Mike. I think one of the interesting thing is that we have as we've gone through this rate cycle, as I think we all believe that we can be far more proactive as we do of our clients in understanding what's going on with deposits and being more proactive without attracting the kind of deposits that we would like to attract. I think its true and almost all the businesses that we have. So, I think the level of rigor that we have today about thinking about rates, thinking about conversations with clients, making our desires clear across asset servicing corporate trust, clearing some collateral management, treasury services, all of them. I think over a period of time, we feel absolutely like we could do a better job at attracting balances as opposed to having balances just be something that happens to us. That obviously takes some period of time but it's a very different kind of discussion today than we were having six or nine months ago here.
Mike Santomassimo: And I would, I'll add a few things. So, I'll just add and as we sort of grow the underlying client franchise, that's going to bring deposits with us. So, that's another piece where you will see some grow overtime. I think, as you sort of think about the non-interest bearing deposits in the percentage of the total, I think we've been pretty consistent over the last couple of years that we seem to add that percentage will sort of grind down. But it's been it bumps around a little bit quarter-to-quarter, a little lower last quarter to a little 29%. This quarter you can see that from the release. I will though just remind you a little bit about the nature of our deposit base. We don’t just close non-interest bearing by line of business but when you sort of what we showed at the Investor Day was about half of our deposits in total are from asset servicing. And the rest the next biggest pieces are corporate trust and treasury services. When you look at the non-interest bearing components of it, the percentage that come from the asset servicing business, that sort of traditional asset managers hedge fund private equity, the whole mix is far less than 50%. So, the other pieces of the puzzle namely corporate trust and trading services drive the bigger piece of the overall non-interest bearing for us. So, that should sort of needs to be factored in and so sort of think about the trajectory of them over time.
Alex Blostein: Got it. Thanks for that, it's a useful color. And I guess my second question just around clearing fees and those are just the actual fees and not the entire business line item. So, down a little sequentially and I think it's largely a U.S. business for you guys. So, I guess market should have been a little bit of a helper. Is it all due to just below our client activities, lower volumes, in the third quarter or is there something there going on underneath?
Mike Santomassimo: I mean, the third quarter typically is a little bit slower than the second quarter but so there's nothing there's no underlying trend there at all.
Alex Blostein: Okay, thank you.
Operator: Our next question comes from the line of Brennan Hawken with UBS.
Brennan Hawken: Good morning, thanks for taking the questions. Just actually wanted to follow up on that last point in question on the non-interest bearers and like there was thanks for enlightening us all of the different business mix which definitely leads to a larger portion and non-interest -- deposits.
Mike Santomassimo: Wait, see -- what.
Brennan Hawken: In the past we've heard that there were certain economic incentives provided to clients such as fee credits on some of those non-interest bearers. But that explanation was under the prior management team. So, kind of curious whether you all have sustained some of those incentives or whether the approach to those deposits has changed at all under your guy's plans and your approach.
Mike Santomassimo: Now, hi Brennan. I think that where you have earnings credits which is a pretty normal thing to do for some businesses has really focused on our Treasury Services business. You don’t see earnings credits at any or not really prevalent than the other businesses. And so, that's how which is a pretty consistent way that us and others provide value for some of those client deposits in treasury services.
Brennan Hawken: Okay, great. Thanks for clarifying that. And then, thinking about the portion of deposits that are in U.S. dollar, is it still around 70% for you all and if so was there just some kind of noise in the deposit cost this quarter or catch-up or what have you that worked out to about the 80% deposit beta that you referenced Mike earlier. Because when I do the math, I get to a number that's a bit higher than that. So, just curious whether I need to make some adjustments to my calc.
Mike Santomassimo: I think you do. But the -- so, I think it's sort of highlighted in my commentary, Brennan. So, it's really the wholesale funding which is a very small piece of our overall funding mix, drives some of that surface level sort of a calc that you've got there. So, when you dig underneath that though, it's what I refer to the 80% to 80% low 80% range, low to mid-80% range, which again I'll say is very consistent with what we're seeing and hearing from clients across in markets.
Brennan Hawken: Great, thanks. Well, I'll follow-up offline for some of the details on that wholesale funding adjustment. Thank you.
Mike Santomassimo: Okay.
Operator: Our next question comes from Steven Chubak of Wolfe Research.
Steven Chubak: Hi, good morning. So, I just wanted to dig in and to your just on tax some of the commentary on deposits but more specific to the impact at QV online. I think the last fulsome update you gave was at 2014 Investor Day, you guide it to about 40 to 70 billion in of expected deposits run-off from that balance sheet normalization. And since you gave that guidance, it looks like deposits have come down about 30 billion or so. And now that we does have better visibility in that process, I was hoping you could maybe help us frame how to think about the remaining run-off impact as the fed continues its process over the next couple of years.
Mike Santomassimo: Yes. Look Steven, its Mike. Like you were referring at some guidance that was provided I think back in 2014. It's a lot obviously has evolved since then. But I think when you think about wholesale deposits more generally, they are definitely correlated to what you're seeing in excess reserves as a fed. And so, as that sort of grinds down, you're going to see liquidity come out of the system. And that all that's equal potentially drives deposits continues to drive deposits down a bit. But as Charlie mentioned, I think we think there's an opportunity to be more proactive, smarter, about how we sort of go after the opportunity with our clients as well as sort of the impact more how this sort of grow line franchise. So, I don’t think you can just take the fed QV online is sort of let's think it about it in a linear way as you think about our deposit base.
Steven Chubak: Okay. So, just as a follow-up, is there an expectation that there's enough of it organic growth opportunity where you could actually see the deposit balances increase even with the headwind from fed QV online only because the impact seems to be fairly pronounced and the correlation quite high around 96% between the two. Your deposits and industry excess reserves.
Mike Santomassimo: We're not going to predict it at this point. Obviously time will tell but I think we feel like we could a better job at gathering deposits in any environment whether it's in an environment with the effects of the unwinding of QV rising performing rates, any of the above, how those two interact, we'll have to see.
Steven Chubak: Got it. Thanks very much for taking my questions.
Mike Santomassimo: You're welcome.
Operator: Our next question comes from Mike Carrier with Bank of America/Merrill Lynch. Please go ahead.
Mike Carrier: Right, thanks guys. First question is just on the asset servicing and this is just on the fees. When I look at it sequentially, it seems like that was a bit more muted. You've just given what we would have expected just from the market returns. Maybe just a little color if you can provide on what else is included in that line, is there some seasonality from like a transaction standpoint that can limit the growth in like the third quarter?
Mike Santomassimo: Yes, like I think would -- hey Mike its Mike. I think we said I think at one point a year or two ago, like that it's you can't think about it just based on what's happening in the market. The asset servicing fee line I think what we've said a while ago, let's call it 25% or 30% of it's influenced by overall market levels or the -- and that will sort of move up and down. But you've got impacts from transaction volumes that go through there and a whole series of other little factors that may drive it sequentially in a quarter or two, quarter-to-quarter.
Mike Carrier: Okay, that's helpful. And then, just on the expenses, on the legal item, just any color around that and if it was like a one-off versus would be kind of ongoing legal cost. I'm just trying to understand that just in a relative to like going forward for a run rate there?
Charlie Scharf: Yes, this is Charlie. Listen, I think we have a fairly clear disclosures about what the litigation we have in progress. This one related to approaching conclusion for two of those items that were mentioned. So, we obviously have the remaining items to go. Some might get results sooner, much some other might go around for a long time but they were known cases that moved along I would say quicker than we probably would have thought a couple of months ago and that's what happens when you have settlement discussions in there are other things going on with others in the industry as well.
Mike Carrier: Okay, thanks a lot.
Operator: Our next question comes from Brian Bedell with Deutsche Bank.
Brian Bedell: Thanks, good morning. Thanks for taking my question. Maybe just go back to fourth quarter seasonality. Maybe, Mike if you could just touch on a couple of different areas. Clearly, we have the performance fees from investment management but maybe if you can flash out the deposits where you receive come in and the delay of revenue into fourth quarter from what typically is seasonally strong third quarter. And then, any other areas clearly volumes tend to be strong in the fourth quarter but maybe just to clarify what you think can be the improvement on the Pershing side and then also the contribution from JPM on the clearance and collateral management side.
Mike Santomassimo: Okay. I'll try to pick that and maybe hopefully that go all your pieces Brian. Thanks for the question. As you sort of think about PRs, these events that cause bigger fees in any given quarter or not in our control, so it's sort of corporate rigor or dividends, splits, things like that. And so, I think coincidentally a bunch of that stuff historically happened in the third quarter. And there's a couple of items that got pushed out of the third quarter and the future quarter. So, whether it happens in the fourth quarter or in a quarter or two, I think that will be dependent upon the clients finalizing their activities. And so, you will sort of see that come through. But there are one or two of those as Charlie sort of mentioned. As you sort of think about Pershing on a go forth basis, I think you saw over the last two quarters that things sort of stabilize post the client losses. We did highlight last year that there were some termination fees related to the losses in the fourth quarter. So, that will have a bit of a impact on the sequential results. But overall, we're seeing good activity in that business, pretty consistent and pretty consistent activity in that business over the last number of months. Then I think those are the items --.
Brian Bedell: JPM clearing --.
Mike Santomassimo: Yes. So, we did finish the conversion of JPMorgan clients into the business, probably a later part of the third quarter. So, you will see a little bit of an uptick as we go into the fourth quarter, so you'll see that in the run rate as we go.
Charlie Scharf: And this is Charlie. I just want to just maybe just make a couple of comments about revenue growth look beyond next quarter. So, I think first, I guess the way I would characterize it is I think when you just think I mean look at the businesses and the way they're performing today and our expectations for opportunities are. Within the investment services business which produce 3% revenue growth this quarter in total, asset servicing was 3% growth. When we sit here and think about the opportunities that sit in front of us versus the pressures, we think there are more opportunities than there are pressures. We think whatever pressures exist will continue but we have opportunities to grow that business faster than we have. And as I've said that is a long cycle of business from the sales perspective and it takes time but we feel very good about our position in the opportunities. Pershing, we've talked about multiple times, we have these, we have two specific losses that we've known about for a long time, it effects the numbers in the short term, we know we have a series of winds that were in the process of on boarding which take a long time to do the work. We have the expenses embedded in our results or at least a big part of it to do that, we have no revenues from it, we know they're coming but more importantly we love our position in the business. We believe we got significant opportunity in the RIA space. And so, again we're not going to put timeframes around it necessarily but relative to the quality of the business and the opportunity we think it's significant. Issue or services space, corporate trust, that is one where you start to see progress more quickly and that's a little bit lock intact going its better technology, it's a better Salesforce, that's better organized, leveraging the relationships across the franchise and we're starting to see that impact. DRs as we said very seasonal quarter-to-quarter, lot of volatility year-over-year I think the numbers will be pretty strong relative to what we saw last year. Treasury services, new leader meaningful opportunity for us in a much more significant way than we've had in the past. And I put wealth management in that category as well. So, I just think I know obviously there is lot of focus on quarter-by-quarter, I say this consistently hard to move these businesses in a single quarter. But as we think about what the opportunities are given the market positions that we have and the type of people that we're bringing in with the ideas that we have. It's we certainly feel good about the opportunity, it's just going to take some time.
Brian Bedell: That was exactly my second question, Charlie through we anticipated it. Thanks for that. Maybe just one little area on middle office that you need to cover. You guys really start to ramp that up when you order the T. Rowe deal and I think you would to an another mandate coming soon. Maybe just talk about your strategy there, obviously stage two is in the big fish in the pond on that one. Do you guys plan on being more aggressive in that space?
Charlie Scharf: Yes. I think middle office is it's complicated as you all know. It's complicated because there's no one middle office solution out in the market place. Historically, they've been very bespoke. Generally more complicated than people think when you decide to take something on. And so, I'm not sure when you look at the profitability across the industry the idea of we don’t look to middle office to be a gigantic profit contributor to the company. Having said that, it is a very it’s a paying point for our clients. We think over a period of time we can't help build scale which means we have to create some more consistency in the industry. And if we can do that for clients that gives you the opportunity to talk more broadly about other pieces to the equation. So, that's something that we are interested in doing. It has four more important deeper relations for us. And so, we'll continue to do that. Longer term more broadly, we all as an industry there's opportunities to figure out how do simplify middle office dramatically and that's something that we're equally focused on over the much longer term. But in the short term, it is an opportunity for us to help our clients.
Brian Bedell: Great. Thank you, for the color.
Charlie Scharf: Next question.
Operator: Thank you. Our next question comes from the line of Mike Mayo with Wells Fargo Securities.
Charlie Scharf: Hi, Mike.
Mike Mayo: Hi. Charlie you spent a lot of time on the new hires. Where are you in terms of changing the culture, how long should that take and what do the new hires bring to the table?
Charlie Scharf: Yes. Obviously it's a hard question to answer where are we. I think and I tried to in my remarks talk about the way you feel if you're inside the company to get to that point. I think this is a company of 53,000 people that's done certain things a certain way and it takes time. And when I takes time, I don’t think it's a question of winning the hearts and minds of people here. I think as I said before it's a very objective group of people that come in genuinely every day and want to do a better job for the clients which ultimately should translate to better result for ourselves. It's a question of what does that mean, how do we operate, do we have enough people role-modeling behaviors and things like that. And so, if I had to say where we were, I would probably in the earlier innings rather than the later innings but I also feel like if you were to talk to people inside the company we've been here, they would say I hope I think they would say it's fairly substantially different. We have I think and I've seen this in my prior lives I think this question of bring accountant from the outside, it is a question of balance. And I really genuinely mean this, I've said this in my remarks, we have great subject matter expertise here. As I've said we've got people that deeply care about clients but you can't be two inwardly focused in an environment which is changing dramatically around you. And so, the idea of bringing in people that have just been at different companies that think about the businesses differently, operate with a different sense of urgency than we've operated in the past had experienced a growing businesses. Those are all additive to the discussion when you're sitting around the table along with that consistency. So, you will not and I had say call individuals out because it puts a lot of pressure on them and also it's a little bit unfair on everyone else. But I mention Paul Camp who joined us to run treasury services. We have a strong treasury services business today which is high quality. But we think that we can do much more than has been done with it. I think if you were to talk to people inside the company what has Paul brought to it in the short time he's been here, you walk into a meeting with Paul and you got energy, you got excitement, he has huge respect for what's been built here in treasury services but then will talk about all the opportunities in front of us both in terms of how we organize, in terms of where we want to get more aggressive, in terms of kind of products we need to build. So, it's just it should be a shot in the arm for business or areas that complement the great talent that we have here. So, this is not a question of replacing every job with someone on the outside but and I -- we don’t usually go out and call out peoples name specifically but this it's a substantial list of people in very senior jobs which we think will be very important not just in their areas but helping shape the mind-set of what growth means. Now, I said this before, growth has not, we just don’t come in one day and decide okay we want to grow today. So, let's just tell everyone and make it happen. Growth is about teaching how to go about doing that, it's you need to think about do you have people in place that actually can think about the strengths of the organization, what products we should be building, how we should work more closely across the organization. Do we have the right product set, do we have the right people in product development, are we incenting people properly for it. I mean, the list goes on and on. And so, having some people that have done that before that think that way, helping role model those behaviors for people here that are very open minded about it. I hope over a period of time it just continues to build on the transformation that's in progress here. I hope that was helpful.
Mike Mayo: All right. Yes, that was very comprehensive, thank you.
Operator: [Operator Instructions] Our next question comes from the line of Jim Mitchell with Buckingham Research. Please go ahead.
Jim Mitchell: Hey, good morning.
Charlie Scharf: Good morning.
Jim Mitchell: Maybe just a question on expense. -- good morning. A Question on expense. As you talked about a meaningful opportunity to get more efficient in the short and the long term. Can you maybe give us a little more detail on where you see the biggest opportunities to get more efficient?
Charlie Scharf: Yes. So, I think -- and thank you for the question. Because we do get a lot of questions from people saying well we've done a good job of controlling expenses over a period of time, is there more to go. I personally think there is a lot more to go and it's not because we've done a bad job, it's because it's like peeling an onion back. The more you peel the onion back, you start to see the next layer. And I think that's what we're experiencing. And it's the short term and its long term. It is tactical and it's structural. Examples: we've done a very good job here if you look at real-estate costs. If you look at what's driven our ability become more efficient over the past four years or so, a lot of it's been driven by being smarter about consolidating and moving the lower cost locations. Having said that, we still have more we can do. We've highlighted the fact that we relocated corporate headquarters. The building where we're sitting in now which is our corporate headquarters, we probably have 3000 on grounding, 3000 or so people in it at the beginning of the year. We got out of 325,000 square feet couple of blocks away. Some of us are here, the rest will be here by November. We're going to get paid call it forget about the accounting for a second, we're going to get $15 million to $20 million a year by someone to sublet that space. We have 3800 or so people in it by the end of the year. We think we can get 5000 to 6000 people in this building. And by the way, again we can go back historically and so and it's not as if that wasn’t happening but as these things happen you get more and more clarity and more and more opportunity. We think about how we manage the company. I many, pretty basic things; layers in the company. When you think about and then think about the layers between me and the most junior people inside the company. And across the company consistently it's 10 to an 11; which is far more than I've experienced in other organizations; average spends of controls. And then you go through some of the more structural things and we just think about the physical manual work that we do that should be automated. And so, as we think and as we think about this, we're focused on really two different dimensions. 1) In the short term, we are going to spend more money on technology. That is the livelihood of who we are; we need to do it; we need to improve our basic operating infrastructure; and we need to build products and capabilities for the future. That will take more to do. And so, we need to continue to drive these efficiencies in the shorter term, not because we needed to fund that stuff but because it will fund that stuff. And as you walk around the place, it becomes more obvious what these things are. At the same time, over the longer term, we do need to build capabilities that allow us to become much more structurally efficient, those are multi-year projects that relate towards automating tasks that are manual today using technology and things like that. So, as we look over in a multi-year period, it's something that we think is there's still plenty of opportunity left.
Jim Mitchell: All right. That's great for the color. And maybe just a quick clarification question on 4Q. On the modestly up expenses, I think you noted that excludes the real estate charge but does that the comparisons include the legal charge in 3Q or should we pull that out as well. Just want to make sure I'm getting that right.
Charlie Scharf: I would pull it out.
Jim Mitchell: Okay, thank you.
Operator: Our next question comes from Geoffrey Elliott from Autonomous Research. Please go ahead.
Geoffrey Elliott: Hello, good morning. Thanks for taking the question. You touched last time on the efforts around CCAR and capital planning. And looking at the mid-cycle resubmission, the mid-cycle DFAST that you submissively published. Your company run stress capital ratios have improved quite a bit. What does that leave you in terms of any efforts to accelerate the process of getting some of that excess capital out?
Charlie Scharf: I think we said last time that we're highly we are -- our constraint is our model, not the Federal Reserve's models. It's something we've been and continue to be highly focused on. And if we got something to say, we'll say it.
Geoffrey Elliott: Okay. I guess we'll leave it at that. Thank you.
Charlie Scharf: Okay, thanks Geoff.
Operator: Our next question comes from the line of Brian Kleinhanzl from KBW.
Brian Kleinhanzl: Great, thanks. A quick question on the non-interest bearing deposits. Before you've said that they're historically averaged about 30% of your total deposits. Could you go back much further in time and look at the end of the rate cycles, both in the 90s and the 2000s. So, its non-interest bearing deposits really troughed out around 20% of total deposits. So, is that what we should be thinking about this time, it that on average over cycle of 30% but really we should be dragging more closer to 20% as they have in the past?
Mike Santomassimo: Brian, its Mike. We haven’t said that that's sort of the historical average. I mean, I think that's the experience over the last few years. But as you point out that number was lower or sort of in history. A lot sort of changed since then in terms of the business stakes and stuff so. So, like I think we would stay with sort of what we've been saying consistently right is that they're going to bounce around quarter-to-quarter but we think that number will sort of grind down a little bit over time. Where it bottoms out we'll see.
Brian Kleinhanzl: Okay. And a separate question on investment management. If you kind of look at the flows years to day and let's exclude LDI which is still in a strength in the business. I mean, long term active is flat, you look at your index it's down 23 billion and your cash is down 25 billion. I mean, what it takes to get those to turn it from outflows really to inflows from here. When can we expect to start seeing better traction and close in the business?
Mike Santomassimo: Yes. I think when you look at our business, I mean it's hard to put it altogether and think about it as one. We have Walter Scott which is an active asset management company in the equity space which over a period of time with differing performance levels inside the market should differentiate us presumably more in difficult markets than in very strong markets. It is they're long term holders, not focused on the technology sector, have a great track record and so again depending on what happen in the markets over a period of time, you should see stronger performance there. In our asset manager here in the U.S. we're going through a restructuring as you know of combining the three into one called Mellon. We've been pretty clear that our performance historically hasn’t been great. We are strategically making a significant change and putting serious capabilities there to create a multi-stat asset manager which we have to prove to the market is more attractive than the separately managed firms that didn’t have the appropriate scale inside the market. And so, that hopefully over the next year or so we'll start to see more progress there. So, it's some again they're all very different that have different drivers to them but I can assure you when we think about each one we're focused on driving improved performance in each of them but that two will take time just given the nature of the business.
Brian Kleinhanzl: Okay, thanks.
Operator: Thank you. And it does appear we have no further questions in the queue at this time.
Charlie Scharf: Thanks everyone, for joining. Thank you, I appreciate it.
Operator: Thank you. This concludes today's conference call webcast. A replay of this conference call webcast will be available on the BNY Mellon Investor Relations website at 02:00 PM Eastern Standard Time today. Have a good day.